Operator: Good day, ladies and gentlemen and welcome to the Second Quarter 2015 The Hanover Insurance Group Earnings Conference Call. My name is Jasmine and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today. Ms. Oksana Lukasheva. Please proceed.
Oksana Lukasheva: Thank you, Jasmine. Good morning and thank you for joining us for our second quarter conference call. We will begin this call with prepared remarks from Fred Eppinger, our President and Chief Executive Officer and David Greenfield, our Executive Vice President and CFO. Available to answer your questions after our prepared remarks are Jack Roche, President of Business Insurance; Andrew Robinson, President of Specialty Lines; Dick Leiby, President of Personal Lines and Bob Stuchbery, President of International Operations and Chief Executive Officer of Chaucer. Before I turn the call over to Fred, let me note that our earnings press release, financial supplement and a complete slide presentation for today's call are available in the Investors section of our website at www.hanover.com. After the presentation, we will answer questions in the Q&A session. Our prepared remarks and responses to your questions today, other than statements of historical facts, include forward-looking statements, including our earnings guidance for 2015. There are certain factors that could cause actual results to differ materially from those anticipated by this press release, slide presentation and conference call. We caution you with respect to reliance on forward-looking statements and in this respect refer you to the Forward-Looking Statements section in our press release, Slide 2 of the presentation deck and our filings with the SEC. Today's discussion will also reference certain non-GAAP financial measures such as operating income, operating results excluding the impact of catastrophes and accident year loss and combined ratios, excluding catastrophes, among others. A reconciliation of these non-GAAP financial measures to the closest GAAP measure on a historical basis can be found in the press release or the financial supplement, which are posted on our website as I mentioned earlier. With those comments, I will turn the call over to Fred.
Fred Eppinger: Thanks, Oksana. Good morning, everyone and thank you for joining our second quarter earnings call. We are very pleased to report another quarter of strong and improving financial performance. We delivered an operating income per share of $1.56 and an operating return on equity of 10.7%. We produced robust bottom line results in line with our expectations, strength and the quality of our book and business and made progress across our organization. We feel good about our financial achievements in the current market position. Our strategic investments to improve our portfolio in market position have strong traction that is demonstrated by 10 consecutive quarters of improvement in our domestic businesses. Additionally, we believe our franchise is well positioned to the current environment. Our target markets or distribution strength in our underwriting leadership and preferred segments should allow us to effectively compete in today's environment and continue to create market opportunities. Progress on all our strategic initiatives gives us confidence in our ability to continue to generate strong earnings growth through 2016. As we generate earnings accretion in our improving portfolio and grow the top line. I'll touch in some of these points as I comment on our second quarter achievements and business initiatives. But first, I'll let David review our financial performance. David?
David Greenfield: Thank you, Fred and good morning, everyone. We reported a very strong quarter in line with our overall expectations and based on our year-to-date position, we remain confident we can achieve the full year financial targets we have set. Net income for the quarter was $121 million or $2.68 per diluted share compared to $83 million or $1.84 per share in the second quarter of last year. Operating income showed good improvement and was $70 million or $1.56 per diluted share compare to $58 million or $1.30 per diluted share in the second quarter of last year. The larger the normal difference between net and operating income in the current quarter is primarily due to the $40 million realized gain or $0.91 per share from the transfer of our UK Motor business that we successfully closed on June, 30th. I will discuss this transaction in more detail in a few moments. But it's worth mentioning now that our team worked hard to close the transaction ahead of our anticipated third quarter schedule. The overall combined ratio was 96% in the quarter compared to 97% in the prior year quarter. Catastrophe losses added 4 points to the combined ratio. Down close to a 1 point from the prior year quarter. Favorable reserve development remained largely unchanged at about 2.5 points for both periods with some movements between the lines. The ex-cat accident year combined ratio was in line with the prior period with an improved expense ratio and a slightly higher loss ratio, as underlying improvements in domestic business were overshadowed by large loss activity in the energy line at Chaucer. Catastrophe losses for the quarter were $46.5 million mostly driven by the domestic lines. Chaucer catastrophe losses were again very low less than 1 point of the combined ratio. Moving onto underwriting results excluding catastrophe losses. In commercial lines through our continued efforts in both rate and business mix management. We were able to drive improvement in the accident year loss ratio in all lines compared to the prior year quarter. The loss ratio this quarter was 57% compared to 58% in the same period last year. In particular, we continue to see improvement in commercial auto trends, bodily injury severity trended as expected as our aggressive pricing and mix management initiatives take hold. Though our recent experiences improved, our outlook in this line. This business remains below long-term profitability targets and we continue to follow a cautious approach. In that regard, we modestly added to prior year reserves related to commercial auto including within AIX which is reported within other commercial lines. In personal lines, the accident year loss ratio excluding catastrophes for the quarter was 62% slightly improved from the second quarter of 2014. We continue to see the benefit of ongoing pricing and underwriting actions in the underlying loss trends. However, the improvement was partially offset this quarter by the emergence of some additional first quarter non-cat weather losses in the homeowner's line. As well as higher than usual severity of large losses, which can be uneven quarter-to-quarter. Rate increases in auto and home are around 5% which is comfortably above loss cause levels providing us with confidence in our ability to generate further margin accretion, as we navigate the current market environment. Domestic expense levels were as we expected. In commercial lines, the expense ratio improved by 0.5 point compared to the prior year quarter reducing the ratio to 36%. This improvement reflects continued operating efficiencies and the operating leverage we are achieving as we continue to grow this business. The personal lines expense ratio was in line in the current quarter against higher than usual expense ratio in the prior year quarter. We expect the personal lines expense ratio to continue to trend at around 28%. Chaucer delivered strong performance with a combine ratio of 91% compared to 92% in the prior year quarter. Catastrophe losses were very low this quarter and less than 1 point of the combined ratio. The accident year loss ratio however was higher this quarter and reflected higher large loss activity in the energy line. Loss activity like this is a part of Chaucer's business and we expect to serve level of volatility from period-to-period. Finally, I'd like to provide additional financial details around the closing of the UK Motor transaction that occurred on June, 30. Our exit was executed through 100% reinsurance arrangement for prior claim liabilities and in-force policies along with property sales and policy renewals. Upon closing our net loss reserves were reduced by approximately $300 million. We also transferred unearned premiums of $137 million and other related items for a total impact of approximately $447 million. On the asset side, we transferred approximately $380 million of invested assets and cash. The balance representing goodwill and intangibles various receivables and ceded commission. The impact of this transaction on the quarter's operating results was negligible and as I relates to future periods underwriting income will not be materially impacted. But the component of Chaucer's combined ratio will change. As you can see from the pro-forma results we provided on Page 12 of our second quarter earnings presentation. The UK Motor business produced a relatively higher loss ratio and lower expense ratio as compared to the rest of Chaucer's business. The expense ratio for the ongoing business is expected to be at around 40% up from 38%, which will be offset by a decrease in the overall expected loss ratio. Our long-term target for the go forward business remains at a 95% combined ratio. And additionally, the transfer of invested assets will result in modestly lower net investment income in the future. The total consideration for the transaction was $65 million after adjusting for related intangibles, accounting for the value of the real estate sold as well as transaction cost and other items. We realized a gain on the transaction of $40 million that included $3.8 million of realized gains on investment assets transferred. So all in, the exit of this business increased our book value by $0.83 per share this quarter. Moving onto the top line, consolidated net written and premium growth for the quarter was strong driven by 5% growth in commercial line and 2% in personal lines. Partially offset by 5% decrease in Chaucer, which included a negative foreign exchange impact of about 4 points. The Chaucer growth numbers are presented without giving consideration to the ceded premium of $137 million that was transferred as part of the UK Motor transaction on June, 30. Looking specifically at the ongoing Chaucer business and excluding the impact of foreign exchange. Net premiums grew by 2% bringing the adjusted consolidated Hanover growth to 3.5%. Fred will have more to say on our top line performance in a few moments. Turning to investments results cash and invested assets were $8.3 billion at the end of quarter, with fixed income securities and cash representing 89% of the total. Our fixed maturity investment portfolio has duration of 4.3 years and is roughly 94% investment grade. The portfolio remains high quality and well laddered for the challenging rate environment. We increase net investment income by 5% for the quarter to $71 million compared to $67 million in the prior year quarter. As we continue to reinvest higher operating cash flows. The low rate environment continues to pressure investment returns. The earned yield on our fixed maturity portfolio was 3.6% in the quarter compared to 3.74% in the prior year quarter and 3.64% in the first quarter of 2015. However, we continue to carefully expand our portfolio mix into non-fixed maturity in instruments. We allocated a portion of new money to higher yielding asset classes such as limited partnerships and commercial loan participations. This gradual change in the portfolio composition is contributing to growth in net investment income helping to offset the current interest yield pressure. I'll just finish with a few comments on the strength of our balance sheet and capital position. Book value per share grew 0.5% to $66.28 in the second quarter. Book value per share excluding net unrealized gains on investments and derivatives increased to $60.96 up from 4.3%. Our total capitalization is $3.7 billion during the quarter. We continue to actively and opportunistically manage our capital. We purchased about 213,000 common shares for a total of $15 million. Additionally, outstanding debt decreased to $835 million at quarter end after we bought back $6 million during the quarter. The debt-to-capital ratio now stands at 22.3% down 1.8 points from 24.1% at the end of 2014. Looking ahead, we believe that capital is best deployed for continued business growth. But we will continue to monitor opportunities to repurchase equity and debt. Overall, we're proud of the strength of our current balance sheet and believe it will continue to provide a solid basis for us to grow our business and with that, I'll turn the call back to Fred.
Fred Eppinger: Thanks, David. We're very pleased with our financial accomplishments and strategic indicatives we executed in the first half of 2015. Which should enable us to achieve good growth and target returns in the quarters ahead? In commercial lines we delivered solid growth of 5% with premium increases in all our segments. We continue to focus on areas where we can grow profitably, capitalizing on the momentum, the franchise value and the strong positions we've earned with our partner agents. We are pleased with the tractions we made in small commercial. We further leveraged our local operating model and the flexibility of our point of sale and non-point of sale operating that make us unique in the market place. In middle market, we remain focused on building and investing in the industry solutions that will maximize profitability and allow us to gain additional shelf space with our partners. Pricing increases in core commercial were 5.5% down approximately a 1 point from the first quarter. As some of the more significant pricing we were achieving in segments where we needed it, has normalized. Our pricing remains above loss cause and retentions remain stable. We're satisfied with our pricing and retention trends, which continue to run in line with our expectations and feel we'll continue to improve our margins. Our target markets primarily made up of smaller accounts, are stable and still present us with significant opportunities. New business was robust, both small and middle market showing continued momentum. We have never been more optimistic and confident in the quality of our new business we're writing. We continue to benefit from the close collaboration with our partner agents as we grow and gain share with them. Our access to attractive business has benefitted our speciality lines. Where we experienced 5% growth in the quarter. We are using our market insight to proactively target desirable accounts and strengthened our position with our partners. Our speciality business continues to build scale and create opportunities for us. Our speciality offerings including marine, speciality industrial, healthcare and our diversified portfolio professional liability products have strong momentum with our distribution. As a result, we enjoyed improved shelf space with some of the best and most sophisticated agents in these areas. Today we are successfully leveraging our speciality infrastructure and distributed underwriting capabilities to affectively give access to some of our agent's most attractive business and we have plenty of room to grow the best partners. We have generated strong momentum for the second half of 2015 and beyond. Overall and commercial lines are strong foundation of broad and innovative capabilities. Our market insight and strong partnership allows us to achieve necessary pricing and produce quality growth. Even a current low growth industry environment. Commercial lines underwriting continue to perform well yielding over a point of improvement in the underlying loss ratio and a 0.5 point expense ratio as we expected. Turning to personalized, we continue to maintain the growth momentum we've established. Generating a 2% increase in the net written premium in the current period. Rate increases continue to hold 5% from both auto and home and we expect to be able to maintain pricing at this level through 2015 and into 2016. Retention was 83% up 2% from 1 year ago and consistent with the first quarter. As we see diminished effect of our successful exposure management efforts. The impact of our growing account mix and the penetration of applied in the product. Notably account policies in-force grew slightly in the quarter. Our strategic focus on account business which represents nearly 80% of our book is a key driver of our strong operating and financial metrics. Writing total accounts allows us to provide customers with a holistic offerings and enhanced coverage's which makes the business sticky and improves our overall retention. Our platinum product complements this account strategy. With platinum still being relatively new to the market. We expect to garner additional benefits including increased retention and in time higher profitability levels driven by this products customizable coverage's and superior service features. We remain diligent in our efforts to achieve a leadership position in the bundled account segment with our agents, with several initiatives underway. We are implementing a set of new operating enhancements which among other things will meaningfully improve our agency interface and customer self-service capabilities. We're also continue to implement robust agency engagement programs, targeting agency representatives from principals to operating level to further promote our platinum offering. Convey an augmented appetite and elevate new business. We support agents who are being connected with and servicing their customers in today's environment, helping them around accounts and to retain and protect the most valuable customers. These efforts will create efficiencies and improve ease of writing account business for our partners while also creating business opportunities and operating efficiencies for us. And giving visibility to our gradually increasing growth momentum into 2016. Personalized produce good underlying improvement in the quarter and despite a few large losses in the effect of first quarter weather in the homeowners line. There is more underwriting improvement to be had in the next year, so and given our current pricing levels and improved business mix. At Chaucer market conditions remain challenging and as long as the environment persists, we remain cautious in our growth in this segment. We have a strong reputation as a market leader in many especially classes at Lloyds, we continue to leverage this leadership position and our underwriting expertise to maintain our business position and to find target opportunities with attractive growth. Overall, we had solid second quarter. Moving closer to our ROE target. We feel great about our positions, strategic and market focus, which is playing out well in the current environment. With visibility and to strong earnings growth in 2015 and through 2016. We are excited about the opportunities that lie ahead. As we wrap up the first six months, we feel very positive about the progress we made in the quarter and in this respect we made on track to deliver an EPS for the year in the range of $5.70 to $6 a share consistent with our previous guidance. With that being said though, we do not expect significant differences in underlying earnings in the third and fourth quarter. We do plan on catastrophe loss ratios of approximately 6.5% and 4.5% respectively. Operator, can you please open the line for questions? Thank you.
Oksana Lukasheva: Operator, we're ready for the questions.
Operator: [Operator Instructions] and our first question comes from the line of Matt Carletti from JMP Securities. Please proceed
Matt Carletti: Just a few questions, couple a little more high level and a couple just quick numbers questions. First one is, there's been a lot of M&A out there a few that, would be viewed as at least in some business competitors of yours. I'm just curious, thinking ACE Chubb specifically and maybe some others. What's your feedback been from agents in terms of your positioning with what's going on or have you seen anything yet more tangible in terms of any changes or benefits you might expect from that shifting landscape?
Fred Eppinger: I think it's probably too early to say anything specific. But I would say that, typically in any of the M&A activities that you see there is, there is often some disruption in opportunity and I think, we as a company are very well positioned right now in the market place and if some occurs, I think it could create some opportunity for us. We don't expect it per se, we don't plan for it. But as you know, we've had some nice success in shifting share with our agents and if there were opportunities, we'll able to capitalize on those.
Matt Carletti: Okay and then the next kind of market related question, I had was it relates to Chaucer specifically energy just kind of lot of market noise and scuttle about how much rates are down and a lot of that oil price driven. What is your kind of guide's view of the landscape and then specifically, can you kind of remind us where, how your book fits versus that because my understanding is, it's only - certain pockets of the energy market or more or less than others.
Fred Eppinger: Exactly, so Bob do you want to run with that or? He's not on, so okay.
David Greenfield: Well, he should be on. Operator, can you open his line?
Oksana Lukasheva: Operator, can you please open Bob Stuchbery's line.
Operator: Yes, I'm opening that line now. Thank you. Your line is now open.
Bob Stuchbery: Yes, as you know. We're market leading in energy business. We've got an established and what we call, a good quality book of business and even recently, we've changed that leadership position with Katelyn Hunt [ph] joining us within the last month. Yes it is a difficult market and our book tends to be more offshore less Gulf of Mexico and write-off and business opportunities are down, due to as you mentioned the oil price reduced activity and also the lack of construction opportunity, as well, just as that's drying up. And we have seen and will see, our income reduced but, really it's just a matter of, this is a market cycle. There is nothing particularly different in the way that we underwrite our book and it's reasonably defensive position at the moment.
Fred Eppinger: Yes, Matt in total, we feel pretty good about our portfolio Chaucer [ph]. So we've guided to about flat you know there, that is B segment. I think that is kind of most affected by the economic trends in that business and so that, there will be some shrinkage in that business. But as far as I told profitability in position and some opportunities that we see, will hold our own. I think, we feel pretty good about that right now.
Matt Carletti: Great. Thanks and just a quick numbers questions. Both the Chaucer acts to your loss ratio which had some energy impact and then the personal lines which had some pulled over Q1 weather impact. Are you able to quantify the impact of each of those on those numbers to kind of get a little more run rate or ex noise?
David Greenfield: Yes, I mean I would just tell you on the personal line side it's relatively small. Less than a point. On Chaucer, I just would continue to come back to you. You've seen the results have been very well over the last many quarters and we always try to guide back to a 95. Energy did affect us, obviously there was some other losses in the book this quarter, but we don't quantify the amount because I don't want you to take the current run rate as their go forward rate. We still would go back to the 95 as the rate that we used on that book.
Matt Carletti: Okay, fair enough. Thanks very much for the answers.
Operator: And our next question comes from the line of Dan Farrell from Piper Jaffray. Please proceed.
Dan Farrell: I was wondering, if we can spend a little time on personal lines. Your PIF count change continues to gradually improve it's still a little bit negative. I'm curious, how long you think before that can inflect the positive and then, your comments on the platinum product still being in relatively early stages. And once again, a little more how much more benefit you think that can provide, if you can talk about that [indiscernible] retention at growth?
Fred Eppinger: Yes, so let me just comment on the PIF count because what's happening is, we still have some monoline that is just dropping off. Well, we don't talk about it as much because the big numbers are down. We're still working on some thinning, so that's what you really think is, particularly a monoline property business is decreasing a tad.
David Greenfield: Right, if you look at our account business year-over-year we're up 1.7 and our sequential account growth about is about 0.3, so we're seeing every quarter improvement growth in our account business and on the platinum side that business is performing really terrific. The retentions of our account businesses is in the high 80s, almost reaching 86 and so some of the quality indicators. Fred that was referencing that will lead to improved performance in the future. I think, I referenced it some of it on the last call, but just the limit profiles, the percentage of the accounts that have an umbrella hatched is nearing 40% to 20. Better number of accounts with limits of 100, 300 on liability side. So it is early, so it's hard to say, what the precise improvement will be in our loss ratio. But we're optimistic, absolutely with that kind of profile of the business that it will turn to that results.
Fred Eppinger: And again, what we would argue is that, the agents. These are, the agents have a significant portion of the book, that really they bet at book are these types of accounts. And the product is the best out there as far as the experience for the customers with a self-service and a dedicated service in claims etc. And so, what we believe is as they experience it, we will see a shift of some of their best business to us. So we'll both growth them organically, but we'll also better serve some of their existing customers and that's why what we're seeing is, as these things get rolled and kind of be embedded with the agents. Our experience is going to be that we will share shift to us overtime. Our total growth as we've signal, we do see in the two slightly higher range for the remaining of the year. So it will be into 60, when we see PIF year-over-year growth.
Dan Farrell: That's helpful. Thank you and then just a question on investment portfolio and investment income. David, you mentioned in your remarks a little bit about some of the movements you're making into non-fixed income assets. I was just wondering, if you could expand a little more on that and then as we think about the path of investment yield. Can these ongoing shifts that you're doing is, can that help offset some of the yield pressure we're seeing. And I forget if you also just mentioned what new money yield is on the portfolio versus the overall existing mixed income portfolio. Thank you.
David Greenfield: Yes, sure. So there's a lot of questions wrapped up in there, that's a lot of them. But just in terms of the new areas or well they're not so new. We've been kind of pushing money into some of these categories over the last probably 1 year to 2 years. But we have about 7% of the portfolio in funds, either hedge funds or partnership or other strategies that are outside of the core fixed income portfolio. We make very modest investments on a per partnership basis. So we feel pretty good about that in the risk spread of that portfolio and it's obviously been helping us, tremendously. We did start a commercial mortgage participation portfolio, a little over 1 year ago and that's obviously growing a little bit. You can see that roughly about 16% of our other asset portfolio at this point and growing nicely and obviously we're careful in that regard. So we're really happy with that and obviously the main component of the assets of the equities, where we're investing in high dividend yield strategies or funds, market based funds or index based funds, which are obviously doing well as the market is increasing. In terms of kind of new money yields. We're seeing somewhere around 3.5% in terms of the earned yield, sorry new money yields couldn't be little bit lower than that. But I think when you look, some charts we put out. We are feeling like we're kind of at that the lower end of the curve and we've been holding, the rates haven't come down much, in terms of our earned yields over the last few quarters. And we think as we move forward with some of the strategies we're employing, we'll be able to start to see that tick up and obviously the big question will be, what the fed does with interest rates in the future and how quickly those start to move up for the whole sector. And so I'll new money yield, I don't have it front of me, but I'll give it for you. It is 2.8%.
Dan Farrell: Great. Thank you very much.
Operator: [Operator Instructions] and our next question comes from the line of Meyer Shields from KBW
Meyer Shields: Starting off from personal lines [indiscernible] wing. Obviously progressive is a making a very concerted push to increase its attractive as a sort of bundled personal line insurer. Are you seeing the level of marketplace competition focused on that changing?
Fred Eppinger: There is a lot of discussion about it, I would tell you. I think that, in the agency channel, the vast majority of this account business is controlled by frankly smaller regional companies. And so, right now, right you've seen number of folks mention that they're going to do more. They're going to try to invest in it. But currently, we're kind of, we feel like we have kind of industry leading solution there. But we're obviously not taking that for granted, as we mentioned. We're continuing to enhance and invest in it. But lots of discussion, we'd say that it's a dominant.
Unidentified Company Representative: And I would just add that, for our target customer segment, not seeing that progressive announcement of moving into the home business is going to and sort of eat into that segment. Their auto business tends to be in different segment than ours. So as they move into home, the arguably the home business attached to that auto customer is what will be targeted initially. In our target mass of affluent market segment. Right now we're not dealing that increased competition. But as Fred said, we're, we love good healthy competition and we'll keep ours.
Fred Eppinger: Yes, it's one of these things in my view, that a lot of our competition has kind of neglected the service aspects for it. Shockingly as an example, most of the account oriented business in the regional companies, they don't even have service centers. So it is a big gap in how some of that business is serviced and how much self-service capability they have and that's why, we're enjoying kind of interesting opportunity here because structurally a lot of these folks, whether they have the coverage is at one point. But whether they can actually service the business is kind of the bigger point.
Unidentified Company Representative: Yes and also maybe final comment, this is where our distribution strategy. It really comes to help us, secure a solid position in this market segment. Our deeper relationships with the narrow number of select number of agents and so all the work that we've done to kind of so, went over the CSR, the Accounts Manager that is will pay dividends. Progressive even has stated publicly, you know that they're challenged in that segment and they're working hard to improve their shelf space with an agency. So this is where our distribution strategy really comes and pays dividends for us.
Meyer Shields: Okay, that's very helpful. Thanks. And then shifting gears, obviously tons of consolidation at least that are out there. Are you seeing an uptick in maybe smaller call them not high profile companies that are thinking that they might need to affiliate with a larger company?
Fred Eppinger: You mean on the underwriting site, are you talking about?
Meyer Shields: Yes, in other words. Are smaller companies knocking on your doors, more saying, hey, it's time to talk.
Fred Eppinger: No, I mean I think there is, obviously we've done roughly 10 or 12 depending how you think what right deals we've done, transactions. And we're always kind of being thoughtful about what helps [indiscernible] value and positioning our franchise. And so we're always having conversations, I don't, in my view I haven't seen a material uptick in interest and or conversations. I think it's one of those constant things because what's interesting is a lot of things that are happening in our industry. Frankly, not just because of some of the announcements recently but if you look at the last 5 years, whether it's the weather volatility or regulatory lead around risk management and capital. The need for spread of risk and scale and the technology investments, these folks are all wrestling with. There's always a number of people that are being thoughtful about it. But I would caution, people to think there is going to be a big way. I mean, an enormous amount of these small companies are mutual's, that have a very different motivation philosophy and I had mentioned this in like at our Investor Day. If you look at the share of the smaller the $100 billion, if it's controlled by the smaller companies, that is shrunk materially in the last 15 years, maybe $30 billion. So they're slowly shrinking a lot of them, but I don't see some massive movements of consolidation. I just think it's one of those things that, the business itself will find, there will be some consolidation to better equipped or targeted solutions. So again, lots of conversations but I would say nothing earth shattering change in the trends there.
Meyer Shields: Okay, fantastic. Thanks so much.
Operator: And there are no remaining questions at this time. I would now like to turn the call back over to Oksana Lukasheva. Please proceed.
Oksana Lukasheva: Thank you, everybody for your participation today and we're looking forward to speaking to you next quarter.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may disconnect. So you all have a great day.